Operator: Good day, everyone and welcome to the Netflix third quarter2007 earnings conference call. Today’s all is being recorded. At this time, foropening remarks and introductions, I would like to turn the call over to DeborahCrawford, Vice President of Investor Relations. Please go ahead, Madam.
Deborah Crawford: Thank you and good afternoon. Welcome to Netflix's thirdquarter 2007 earnings call. Before turning the call over to Reed Hastings, thecompany’s co-founder and CEO, I will dispense with the customary cautionarylanguage and comment about the webcast for this earnings call. We released earnings for the third quarter at approximately1:05 p.m. Pacific Time. The earnings release, which includes a reconciliationof all non-GAAP financial measures to GAAP and this conference call areavailable at the company’s investor relations website at www.netflix.com. Arebroadcast of this call will be available at the Netflix website after 3:30p.m. Pacific Time today. We will make forward-looking statements during this callregarding the company’s future performance. Actual results may differmaterially from these statements due to risks and uncertainties related to thebusiness. A detailed discussion of such risks and uncertainties is contained inour filings with the Securities and Exchange Commission, including our annualreport on Form 10-K filed with the Commission on February 28, 2007. Now I would like to turn over the call to Reed.
Reed Hastings: Thank you, Deborah and welcome, everyone. As you read today,our results in Q3 were very strong in comparison to expectations and wesubstantially exceeded our guidance in subscribers, revenue, and earnings. Inaddition, we raised our guidance for Q4 as described in our press release. Inshort, it was a great quarter. As you know, in recent quarters our growth has been impactedby Blockbuster’s online strategy of selling dollars for $0.85. That’s not aviable long-term strategy and our competitor now appears to have de-emphasizedtheir online business in favor of generating profits and focusing on improvingtheir stores. While our results in Q3 were significantly above ourexpectations, we are mindful that they were about the same as Q3 one year ago.Earnings, gross additions and churn were on par with last year’s Q3, while netadditions were about 40% less than last year, since we were churning from abigger base this Q3. We are much happier today than 90 days ago, but we’re stillnot where we would like to be in terms of subscriber growth. However, I ampleased that in the first three quarters of this year, we have alreadygenerated more net income than in the whole of 2006. Internally, we debate how our business would have performedin Q3 without our June and July price cuts, and there’s no consensus. What isclear, however, is that even after the price cuts, we are an Internet retailerwith over 30% gross margins and growing profits. Compared to other Internetretailers, our new pricing is still quite healthy in terms of gross margins. The advantage of lower prices to our business is reducedchurn and lower SAC. Our Q3 churn reduction was as our price cut modelspredicted, and most of it was due to our lower prices rather than the change incompetitive climate. The reduction in SAC, however, we think was from a mix oflower prices, more efficient spend, and our competitor’s lighter marketing. As we look ahead, we are focused on continuing to deepen thecompetitive moats around our DVD rental offering. By continuing to improve ourservice and being aggressive on value, we are confident at remaining the leaderin online DVD rental, regardless of what the competitive landscape holds, andto be the primary beneficiary as more and more consumers move their spendingand time online. In addition of prospering in online DVD rental, we areexpanding in online video quite nicely. In the past, we have announced variousmilestones, such as reaching 10 million views, in our desire to provide youwith some sense of how subscribers were reacting to the option of watchingcontent instantly on their PCs. As the number of viewers and views continues to grow, thisinformation becomes more sensitive for competitive reasons and going forward,we will no longer release it. At a high level, our strategy is to build a very large DVDrental subscriber base and to bundle in the ability to watch those moviesonline. If a consumer in America is in to the Internet and movies, the chancesare good they are going to be a Netflix DVD rental subscriber. Additionally, since a good deal of content will be availableonly on DVD for some years, a hybrid offering like ours is differentiallycompelling to consumers in comparison with any online only offering. Our goals in online video over the coming years arethree-fold: one, to expand the content we offer online; two, to make itinexpensive and easy for consumers to view that content on the television; andthree, to understand what the financial model for the hybrid service will be inthe long-term. On the content side, we are working steadily year after yearto increase the amount of movies and TV shows we have available online. It took10 years to get most content available on DVD and it may take that long againto get most content online. We are pleased with our progress to date and are licensingmore content every quarter. In terms of enabling the viewing of online content on thetelevision screen, we are exploring a variety of options, including Internetconnected, high definition DVD players, Internet connected game consoles, anddedicated Internet set tops, with a variety of partners, trying to understandthe best ways to provide inexpensive viewing of online content on thetelevision. In the meantime, laptop computers are, for the youngergeneration, one of the primary ways video of all sorts is being enjoyed, andour online viewing is up dramatically quarter over quarter. While we are not yet in the position to provide investorsthe long-term financial model behind the hybrid service, we do want to reassureyou that we plan no large-scale changes to our cash flows next year with, say,big hardware subsidies. Ten years ago, we formed Netflix and eight years ago, welaunched our subscription service. Our ambition has always been to emerge asone of the world’s leading Internet movie firms, with a profit stream that willsignificantly exceed that of our initial DVD business. It took several years for us to turn our DVD rental businessprofitable and our online video expansion may take just as long. We now havemore resources, bigger competitors, and a much bigger prize to earn. Since the opportunity for online video, however, will emergeslowly rather than suddenly, we believe we can generate increasing profits forthe business as a whole while we expand into online video. To close, I want to thank everyone who continued to see thevalue in owning Netflix over the last nine months. The competition was moreaggressive than we had imagined likely. I am proud that we chose to stick tothe basics by steadily improving value and service quality for our subscribers,and we emerged stronger than ever. It’s reasonable to expect that our stock price couldcontinue to experience swings but we will continue as we have been to focus onsteadily building a company whose competitive strengths position us to growsubscribers and profits year after year. And now, over to Barry.
Barry McCarthy: Thanks, Reed, and good afternoon, everyone. As you know fromtoday’s earnings release and Reed’s comments, Q3 results exceeded ourexpectations. Three weeks into the fourth quarter, we remain encouraged by ourresults quarter to date, which is reflected in our upward revision in Q4guidance for subscribers, revenue, net income, and EPS. Changes in the competitive environment were an importantcatalyst for the quarter’s performance, so I’ll begin my remarks by talkingabout the implications of competition for subscriber growth. Next I’ll discussour third quarter results, our updated guidance for Q4, and provide a fewcomment on 2008. Then I’ll close my remarks with an update on the status of thestock buy-back program we announced on the Q1 earnings call. Last quarter, I said we expected to operate in a challengingand competitive environment for the remainder of 2007 and into 2008. Ninetydays later, we see a different picture. The question is how could things havechanged so quickly? Two factors contributed to this shift. First, as we discussed on last quarter’s call, we stepped upour investment in growth by lowering prices in order to increase our share ofnew subscribers and reaccelerate our sub growth; and second, Blockbuster’s newmanagement team shifted strategy to emphasize profit in additional tosame-store sales growth, a significant change in direction from the priormanagement team. These two changes, and to a lesser degree, the effects ofthe seasonally strong quarter, restored our sub growth and lifted our endingsubscribers above the high end of our guidance. Financial results for Q3 exceeded our expectations acrossall key financial metrics. The highlights I’ll focus on today include revenue,gross margin, subscriber acquisition costs, and free cash flow. Revenues were above the high end of the guidance, fueled bysubscriber growth and retention improvements. ARPU declined again this quarterby about 4% sequentially and 10% on a year-over-year basis, which was in linewith our expectations following the price cut last quarter. In spite of the price cut, we earned the same revenue perpaid disk shipment in Q3 as we did one year ago, which shows that the economicsof lower price plans are working. Gross margin of 33.9% outperformed our expectations for thequarter. Lower content cost was the primary driver of this out-performance,along with some benefit from lower fulfillment costs. Although margins exceeded our expectations in the quarter,they were still down sequentially and year over year, as expected. Increasedspending on Internet delivered video content and the price cut were the primarycontributors to the sequential decline in gross margin. This trend willcontinue in Q4 as the full impact of lower prices cycles through the P&Land we continue to invest in Internet delivered video content. In my opening remarks, I pointed to the changed competitiveenvironment and the reacceleration of our subscriber growth. Faster subscribergrowth in Q3 was accompanied by significantly lower marketing spending, whichwas a managed outcome. Subscriber acquisition cost of $37.91 was the lowestit’s been in eight quarters, and total marketing expense decreased by $10.2million, or 17% on a year-over-year basis. Last quarter, we committed ourselves to funding most of thecost of the price decrease with reductions in marketing spending, and thisquarter you saw that strategy at work in lower subscriber acquisition cost. My final comment on our financial performance for thequarter will relate to free cash flow of $36 million, which increased from $6.5million in Q2, continuing a trend that emerged last quarter and a seasonalpattern that dates back to our days as a private company. This increase wasdriven primarily by a seasonal decrease in content acquisition and an increasein our accounts payable. I began my remarks today by commenting on our raisedguidance for Q4 -- fast subscriber growth, driven by our Q3 price cuts, as wellas changes in the competitive climate explains our expectations for fastergrowth. At the same time, the lower marketing spending associatedwith the price cuts should contribute to increased profitability. Given our out-performance in Q3, and our increased guidancefor Q4, I would like to comment briefly on our expectations for 2008profitability. Last quarter, I said we may see a decline in 2008 net incomeon a year-over-year basis. Given our third quarter performance, that view nowseems overly pessimistic. Today, it wouldn’t surprise me to see net income flatto slightly up in 2008 on a year-over-year basis. Let me explain why I think that’splausible. Two important assumptions that underlay our expectations for2008: first, we expect the current competitive environment to remain unchanged;and second, we expect to significantly increase our investment spending inInternet delivered video. As Reed mentioned last quarter, we expect to debut Internetdelivery to the TV next year, and that will involve increased investment incontent as we expand our library of titles and more Netflix subscribers chooseInternet delivery. Before closing, I would like to update you on the status ofthe stock buy-back program we announced six months ago. Last quarter, we purchased 2.1 million shares at an averagecost of $17.17 per share. Since inception, we’ve purchased 3.4 million sharesat a total cost of approximately $65.7 million. Whether we continue to buyshares back in the current quarter depends on where the stock trades during thequarter. In summary, last quarter’s price cut, which was funded inpart by a reduction in marketing spending and a favorable shift in thecompetitive environment, led the strong out-performance across all key metricsin the third quarter. We believe the overall category of online DVD rental willcontinue growing. Our business model continues to perform well. We are pleasedwith our Internet delivered video progress and believe our hybrid distributionstrategy by mail and across the Internet gives us a long-term sustainablecompetitive advantage. We remain focused on accomplishing the strategic initiativesReed outline in his remarks today and we look forward to updating you again inJanuary on our Q4 call. That concludes my prepared remarks. Thank you for joining ustoday, and now we look forward to answering your questions.
Operator: (Operator Instructions) We’ll take our first question from GordonHodge with Thomas Weisel.
Gordon Hodge - ThomasWeisel Partners: Thanks. Terrific quarter. Just a couple of questions; itsounds like again the gross margin, very strong. I’m just curious if you couldgo a little bit more into it. I think your capital expenditures on disks wasalso at least below our expectations. Is the source of that primarily usage orare you getting meaningful terms on disks that are fully amortized, and/or areyou seeing any change in the mix, either rev share, towards rev share discs oralternatively catalog versus new releases? Thanks.
Barry McCarthy: Well, as I said in my comments, Gordon, seasonally we see adecline in Q3 purchasing, and that explains the reason for the decline that wereported.
Gordon Hodge - ThomasWeisel Partners: Is that a seasonal decline in the need to purchase or isthat just something to do with the calendar as it relates to the studios?
Barry McCarthy: Studios, primarily, studio release.
Gordon Hodge - ThomasWeisel Partners: Got it. And then just anything on catalog versus new releaseand rev share versus purchased?
Barry McCarthy: Nothing new in the quarter related to catalog versus newrelease, and as it relates to rev share versus purchase, over the last severalquarters, we’ve leaned slightly more towards purchase than rev share.
Gordon Hodge - ThomasWeisel Partners: Okay, terrific, and then any comment as to what you thinkthe impact of Movie Gallery’s bankruptcy filing might do for you?
Reed Hastings: Any time video stores close, it’s got to help us. You haveto imagine, though, that the first thousand or so Movie Gallery stores thatclose are the ones that are right across the street from a Blockbuster, and soit’s probably reasonable to think that they are more likely to cross the streetthan suddenly come online. If there’s ever isolated, rural stores that close, then theonly option is online, so that would be a -- if there’s a second wave, thatwould be more helpful to us. I think the first wave is going to be mostlyhelpful to other video stores in the neighborhood.
Gordon Hodge - ThomasWeisel Partners: Thank you.
Operator: We’ll take our next question from Jim Friedland with Cowenand Company.
Jim Friedland - Cowenand Company: Thanks. Some questions on the P&L. Sequentially, lookingat the tech and dev spending, G&A, and also PP&E, you are sequentiallydown Q-over-Q. And I just wanted to get an idea of some of the drivers, and thequestion behind that is in terms of the ramp of the Watch Instantly feature,are some of the expenses already preloaded, so as we go into next year, theneed to increase, for example, tech and dev or PP&E is not as great?Thanks.
Barry McCarthy: In the tech and dev line, Jim, last quarter we capitalized,we expensed -- we took some one-time expenses that were non-recurring, so thatexplains the sequential decline. The G&A line, which also declined sequentially, probablydriven by litigation expense, also non-recurring.
Jim Friedland - Cowenand Company: And PP&E, which has declined for the last couple ofquarters?
Barry McCarthy: It fluctuates seasonally. We tend to, to the extent we aregoing to by CapEx, it tends to be a year-end phenomenon for us, when vendorsare anxious to cut deals to make sales quotas.
Jim Friedland - Cowenand Company: Okay, and the last part of that question is thinking aboutthe necessary expenses for Watch Instantly, as you look at game players, DVRs,et cetera. Is there any need to accelerate the tech and dev spending in termsof a percentage of revenue going into ’08, should there be any meaningfulchange there?
Reed Hastings: We’ll continue to grow our investment on an absolute basis.We’re reasonably consistent with our history over the last couple of years, sothere is no big change in that history. And some of that is deployed againstinstant watching, some of that’s deployed against making the core DVD rentalservice better.
Jim Friedland - Cowenand Company: Okay, great. Thanks a lot.
Operator: We’ll take our next question from Youssef Squali withJeffries.
Youssef Squali -Jeffries & Company: Thank you very much. Reed, some time back you had talkedabout reaching 20 million subs by 2010, I think 2012. The competitive landscapekind of toughened up a little bit, so your focus -- are you focused a littleless on that and more on bottom line? The competitive landscape seems to haveimproved quite dramatically in the last three months. Can you kind of just tellus where you stand directionally? I mean, between or a choice betweenpotentially raising prices and try to maximize profits versus just keepingprices down and just dramatically increase subscriber growth to maybe goingback to the initial philosophy? Can you just update us on that and is a priceincrease potentially on the table, considering how favorable the competitivelandscape is?
Reed Hastings: Youssef, it’s a balance for us of both growth in subscriberson DVD rental, earnings, and our investments in online video. And so if we doour job well, we’ll be able to pull off increases in all three of those. Sowe’ve never looked at it as, for example, the 20 million, that it was 20 million at any cost. It was 20million consistent with some very nice earnings growth along the way. In terms of the 20 million, it will probably take us acouple of quarters to get a feel for what’s the likely trajectory goingforward. In terms of a price increase, it could always happen. Socould price cuts. We continue to actually test more price cuts and looking forthe elasticity in the same way that we always have, so prices and value is aneffective tool for us to use on both side of that.
Youssef Squali -Jeffries & Company: You’ve invested a lot in customer care. You seem to beseeing that as a strategic advantage. Any way to quantify the benefit in churnfrom that move? And what other side benefits do you realize from having thatasset?
Reed Hastings: There’s no precise way of qualifying it in terms of churnbecause we don’t have a controlled set of customers that didn’t get the highquality customer support, so it’s more our judgment that this is a worthyinvestment and it pays itself off in a positive brand reputation, which helpsthe word of mouth and helps us grow. I would point out, I mean, we’re getting some great pressabout it. It’s not particularly material in the total P&L, so it’s a goodthing but if you calculate the cost of 200 or 300 hourly employees, it’s not abig investment or a big driver of our P&L.
Youssef Squali -Jeffries & Company: Okay. That’s helpful. Thanks a lot.
Operator: We’ll take our next question from Douglas Anmuth with LehmanBrothers.
Douglas Anmuth -Lehman Brothers: Thank you. Barry, you were talking about SAC and noting howit was the lowest it has been in about two years. Can you provide some color onhow the marketing spend trended throughout the quarter? I’m sort of wonderingwhy maybe you didn’t even spend more in marketing to take advantage of the morefavorable environment, at least during the back half of 3Q? And then secondly, can you also talk about the compositionof new adds and how that may differ from where it was a year ago, for example,in terms of whether you think these are new customers coming online or whetherthey are more so coming from a competitor? Thank you.
Barry McCarthy: As it relates to the trend during the quarter, no comment.As it relates to the composition versus a year ago, I think all we’ll say isthat the trend in growth in rejoins continues. We’ve seen a gradual increaseover time and that remains true today. We are seeing fewer folks leave forother online services, but it is not a hugely significant shift. And as it relates to why we didn’t spend more in the quarteron marketing, I would remind you that last quarter our message was there arelots of different ways to invest in growth. One way is through additionalmarketing. Another means is with price reductions, and last quarter we made thedecision to throw our weight behind price reductions and we submitted at thetime that we would pay for it -- significantly pay for it with reductions inmarketing spending, so nothing we saw during the quarter convinced us that weshould depart from the strategy that we had articulated for you on lastquarter’s call.
Douglas Anmuth -Lehman Brothers: And can you also comment on your Bay area penetration?
Barry McCarthy: Sixteen-point-nine percent.
Douglas Anmuth -Lehman Brothers: Thank you.
Operator: We’ll take our next question from Barton Crockett with J.P.Morgan.
Barton Crockett -J.P. Morgan: Great. Thanks a lot. Congratulations on a great quarter. Iwanted to ask you a question about the gross addition trend though, which wasdown 1% year to year here, and the net additions down 50%. If you trend thatout for a couple of years, that puts you at a point where basically you are notgrowing subscribers a couple of years out. Clearly I don’t think you guys seethat, so I’m just wondering what keeps the long-term trend in subscriber growthgoing? Do you think you pick up gross additions over the next couple of years,or does the churn rate improve?
Reed Hastings: A little bit of both. We’re seeing, if you map out how doyou grow to our goals over the next couple of years, it will require bothreduction in churn and an increase in the gross adds, so it’s why we pointedout that in fact, although we’d significantly exceeded where we thought we’d befor Q3 on a year-over-year basis, we’re only half recovered where we were oneyear ago and we’ve still got some work to do.
Barton Crockett -J.P. Morgan: And then the other thing in terms of the investment inonline, you guys have talked about a $40 million spend this year and I justwant to be clear; in the past, you’ve suggested that you would spend more thanthat next year. Is that still what you are suggesting? And if so, if you couldgive us some sense of what that spend gets you?
Barry McCarthy: We did say that we expect to increase our spending nextyear. That’s all we’ve said. We said we would talk more about our onlinestrategy and plans in January on the Q4 call, so if you’ll be patient, we’llhave more to say then.
Barton Crockett -J.P. Morgan: Okay, all right, but again, the flat to slightly up earningsincludes more spend on online next year?
Barry McCarthy: Yes, that’s correct, and you could get your model to workwith that increasing -- without increasing your assumption for online spending.
Barton Crockett -J.P. Morgan: Okay, and then the final thing, you may not be willing to gothis far, but is the increase in online spending, is that of a recurring natureor is that just kind of a one-time thing that hurts you in ’08 but isn’t likelyto be there in subsequent years?
Reed Hastings: There’s very little of our online spending that’s one-timein nature. You can always call something one-time but it almost always turnsinto, you know, as you’re growing and you’ve got new competitors in the future,to be essentially an ongoing investment. So said differently, we’re planningfor success.
Barton Crockett -J.P. Morgan: Okay. All right, good. Thanks a lot, guys, I appreciate it.
Operator: We’ll go next to Tony Wible with Citigroup.
Tony Wible -Citigroup: Good afternoon. I had a couple of questions on the SAC andBarry, if you could, how would you anticipate the SAC changing withseasonality? And then also, if we were to see a revamped marketing push byBlockbuster, is there a way of kind of quantifying tit for tat how that wouldaffect the earnings model?
Barry McCarthy: Well, it’s very hard to answer the second question in theabstract. One of the big drivers of SAC is growth from word of mouth, peoplewho have heard about the service from friends and decide that you are the placethey want to -- you are the brand they want to associate with and they walk inthe door essentially for free. And [that’s notwithstanding] your, your averagecost per acquired sub. In terms of overall spending, SAC is very much a managedoutcome and we begin each quarter with a fixed dollar amount in mind and Leslieand her team manage the business to deliver that level of spending. We willperiodically reassess during the quarter, reassess the amount of money that weplan to spend with respect to our forecasts for profitability during thequarter. But given that we are still in the process of paying for the pricecuts that we implemented, it’s not likely we’re going to double down onmarketing spending.
Tony Wible -Citigroup: Given that the cuts that you’ve made have really kind ofnetted into a benefit based on your results this quarter, would you notconsider just lowering pricing then on a go-forward basis?
Reed Hastings: As I said earlier on the call, we are definitely testingadditional, price [tests] and lower prices to see is there enough elasticitysuch that with reduced marketing, we end up with greater profits and greatersubscribers after the price cut, so it’s something we look at and potentiallyprice increases also, depending again on the same elasticity. So we look atboth.
Tony Wible -Citigroup: Reed, I appreciated your comments on the call about the potentialfor one of the channels to get to the TV being a box, but that you would notcarry subsidies on that box. Could you elaborate a little bit more on what youmeant by that? Are we talking about partnering with a third party or -- howwould that box work relative to the other models?
Reed Hastings: We’ll fill you in more I think on our next quarter’s call.The main thing I wanted to get across is that we weren’t contemplating anyradical moves on a cash flow, kind of put that one to rest, and that stillgives us a lot of flexibility in how to operate and how to be effective, andwe’ll be able to give you a fuller update a quarter from now.
Tony Wible -Citigroup: Great. Thank you.
Operator: We’ll take our next question from Brian Pitz with Bank ofAmerica.
Brian Pitz - Bank ofAmerica: Thanks. You mentioned the increase in investment spending inInternet video next year. Just to be more specific in terms of content, can yougive us a sense between longer tail content projects versus not-so-long tail, andreally comment on the competition that may result from other studiospotentially chasing the longer tail content? And then, on the second question, sort of a follow-up fromanother question that was asked, can you really give us a sense for how much mayhave been spent year-to-date on the Internet video project, so we just canmodel things thoughtfully going forward? Thanks.
Barry McCarthy: I understand why you re asking and I don’t mean to bedifficult in saying we have no comment at this time, but we have no furthercomment at this time and we will -- to the extent we have more to say, we’llsay it on the Q4 call in January.
Brian Pitz - Bank ofAmerica: Great. Thanks.
Operator: We’ll take our next question from Heath Terry with CreditSuisse.
Heath Terry - CreditSuisse: Thank you. I was wondering if you could give us an update onwhat kind of penetration you are seeing for the Watch Now service, and to whatextent you’ve been able to meet your goals in terms of expanding theavailability of the product offering there?
Reed Hastings: We’ve been very pleased with the Watch Now service. Weannounced, of course, 10 million views as of six weeks ago, so we’ve seen verynice and broad usage. And there’s a whole demographic of people that are verycomfortable watching movies, whether those are DVDs or online video, on theirlaptop. So there’s a high-end base, which has the plasma TV in the den, andthen there’s another group or another segment of consumers that are reallypretty laptop-centric and they’ve been getting significant value from ourservice. So we are very pleased with the progress there.
Heath Terry - CreditSuisse: Is there a penetration number that you can talk about --20%, 25%?
Reed Hastings: No, again, same as Barry referred to. For competitivereasons, we’re going to be a little quieter going forward. We’ll give youqualitative updates on where it’s trending but it’s been very successful for usand we’re very excited by it.
Heath Terry - CreditSuisse: Have you got any feel for, been able to get any feel fromthose that have adopted it, are they changing their by mail rental habit? Arethey still consuming the same number of discs by mail and just Watch Now on topof it? Or is this actually a replacement for them?
Barry McCarthy: Well, we’ll be able to get a feel for that over the nextprobably two years, in terms of how our gross margin evolves, to see how muchsubstitution there is. In the best case, there’s enough substitution that weare able to maintain pricing and maintain gross margins, but we don’t haveenough evidence to believe in that. It’s more of a desire at this point. And I point out that without a control set, i.e., a largeset of subscribers that didn’t have online, it’s really hard to tell mixed inwith the seasonality and the other factors going on, you know, is it because ofonline video or is it because of fewer big hit movies this Q3 than in the past.
Heath Terry - CreditSuisse: Okay, great. Thank you.
Operator: We’ll take our next question from Gordon Hodge with ThomasWeisel Partners.
Gordon Hodge - ThomasWeisel Partners: Just a follow-up, just on the fact that you had a 1% declinein gross subscriber additions. Given the fact that you didn’t change yourpricing until July and I think Blockbuster took the foot off the gas onmarketing sometime in July or early August, my guess is that your trend ingross subscriber adds is stepped up considerably, so that you are actuallypacing up into Q4, or maybe you can -- if you can’t comment on that, maybe justcomment on the gross subscriber adds August and September, that would be great.Thanks.
Barry McCarthy: Well, I think you see in our increased guidance for Q4 howwe feel about the net of those trends, and we are very excited about those.Obviously we are not guiding explicitly to gross adds, but we are making somereal progress by continuing to focus on great execution.
Gordon Hodge - ThomasWeisel Partners: But it’s probably fair to say that you are up in September,or you were up in September and August?
Barry McCarthy: I didn’t confirm or disconfirm that for you, Gordon. Sorryabout that.
Gordon Hodge - ThomasWeisel Partners: No worries. Thanks.
Operator: And that does conclude today’s question-and-answer session.At this time, I will turn the call back over to you, Mr. Reed, for any closingremarks.
Reed Hastings: Thank you to everyone. We look forward to talking to youagain in a quarter. Thank you.
Operator: That does conclude today’s conference. Thank you for yourparticipation. You may disconnect at this time.